Operator: Good day, and welcome to the Genius Sports Fourth Quarter 2022 Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I will now turn the call over to Genius Sports. You may begin your conference.
Brandon Bukstel: Good morning and thank you for joining us. Before we begin, we’d like to remind you that certain statements made during this call may constitute forward-looking statements that are subject to risks that could cause our actual results to differ materially from our historical results or from our forecast. We assume no responsibility for updating forward-looking statements. Any such statements should be considered in conjunction with cautionary statements in our earnings release and risk factor discussions in our filings with the SEC, including our last Annual Report on Form 20-F filed with the SEC on March 18, 2022 as amended by Form 20-F filed with the SEC on November 10, 2022. During the call, management will also discuss certain non-GAAP measures that we believe may be useful in evaluating Genius’s operating performance. These measures should not be considered in isolation or as a substitute for Genius’s financial results prepared in accordance with U.S. GAAP. A reconciliation of these non-GAAP measures to the most directly comparable U.S. GAAP measures is available in our earnings press release and earnings presentation, which can be found on our website at investors.geniussports.com. With that, I’ll now turn the call over to our CEO, Mark Locke.
Mark Locke: Good morning and thank you for joining us today. 2023 is an exciting year for Genius Sports and opposition strategically, technologically and financially is the best it has ever been during my time as CEO of the company. Before we get into the year ahead, I’d first like to revisit the objectives that we outlined in our Investor Day at the beginning of 2022. As you may recall, we disclosed several financial and operational targets as part of our strategic plan. In particular, we outlined 25 different financial targets to provide clear benchmarks for success and to hold us all the counterboot to our shareholders throughout the year. With the year now behind us, I’m pleased to share that our team has delivered or exceeded all 25 of those targets throughout the year while at the same time executing on our strategy to deliver our long-term goals. Among the highlights, we delivered 41% constant currency revenue growth to $341 million and $16 million in adjusted EBITDA, each outperforming our guidance. All this despite strong macroheadwinds, including the significant FX challenges and the cessation of business in Russia. We continue to execute on our plan across the globe supporting hundreds of leagues in sports with partners in every time zone. Our highly profitable and cash generative core underlying business outside of the U.S. continued to scale both in times of size and margin, which is now in the high 30% range. We still see plenty of profitable growth ahead. In our second full year in the high-growth U.S. market, we’ve established ourselves as the dominant player with market-leading competitive advantage and revenue growth of 108%, far outpacing the growth of the broader industry. Keep in mind. the U.S. is still a relatively new market within our global business. We expect this region will continue to be a long-term driver of significant growth at Genius, particularly as our losses continue to narrow year-over-year and we approach profitability in the U.S. in 2024. We had continued to consolidate our technology position at the heart of the ecosystem by deploying technology across size profile leagues, sports books and broadcasters, including the NFL, CBS, ESPN and Amazon, just to name a few. Our media business has also outperformed and we have achieved our objective of not only growing revenues in excess of 50%, but also diversifying our client base to enter long-term partnerships with major global brands, including Pepsi, American Express, Audible, Destination Canada, and much more. And this business really is just getting started. And finally, we’ve proven beyond argument the operating leverage of our business model, our core underlying business is generating strong and improving free cash flow, and we expect a meaningful inflection in group cash flow starting in H2 of 2023. Given our revenue growth and predominantly fixed cost base, we expect to nearly triple our growth EBITDA from $16 million in 2022 to $41 million in 2023 and generate positive free cash flow in the second half of the year. More importantly, we expect to deliver these results with the partnerships and assets that we have today. In other words, we are comfortable achieving our 2023 forecast without the need for any new rights deals, the opening of any geographical markets, M&A or any other exceptional factor. And therefore, with $159 million of cash on our balance sheet as of the year-end, no debt financing and the move to positive cash flow in H2, Genius is extremely well positioned. 2023 marks a key turning point. In the years ahead, we expect to continue along our path towards our long-term objective of group adjusted EBITDA margins in excess of 30%. Given the strong and improving margins in the core underlying business, we feel confident in reiterating our long-term objectives. What gives us confidence is our second to none position at the heart of the ecosystem, which has only strengthened since going public. We are the technology partner of choice for leagues, bookmakers, sponsors, brands and broadcasters. We have pioneered official data rights to pro technology that makes us a sticky long-term partner to leagues provided mission-critical data and services to bookmakers,. develop the most effective sports focused digital advertising technology and inventory and implemented second spectrums AI and computer vision technology to deliver the next generation of sports broadcasts. In essence, Genius is the trusted technology partner for anyone seeking to engage and monetize a sports audience in a personalized and cost effective way. Our CFO, Nick Taylor, will provide more detail on our financials and guidance later on. But first, I’ll walk you through the headlines. To recap Q4 and starting at the top of the page, we delivered $105 million in group revenue and $3 million in adjusted group EBITDA. This represents 36% constant currency growth in revenue and a $15 million improvement in adjusted EBITDA compared to Q4 of 2021. Again, this brings our full year revenue and adjusted EBITDA to $341 million and $16 million, respectively, exceeding our guidance for the year. This represents 41% constant currency revenue growth and a significant uplift in adjusted EBITDA from the $2 million reported in the full year of 2021. The outperformance in 2022 was multifaceted. First, we won new business throughout the year, with a total of 71 customers in 2022. Second, among existing customers, we continue to expand our value-add services, having successfully competed contract renewals and renegotiations with large global sports books. And third in the U.S. specifically, we’ve seen an increase in total sports betting volume, improvement in operating with margins and strong growth within Play betting. Each of these factors resulted in U.S. revenue more than doubling in 2022. Additionally, our leagues relationships have strengthened throughout the year of our tech integrations were on full display this past quarter. More on this shortly. Looking ahead, our execution in 2022 and strong tailwind entering the New Year gives us confidence in our guidance of $391 million in revenue and $41 million in adjusted EBITDA in 2023. Turning to Slide 6 of the presentation, I’d like to point you to the table on the right hand side, showing our net revenue retention, which is an important metric that measures growth among our customers. You’ll see that we have continued to execute on our land and expand strategy across all tiers of our sports betting customers, evidenced by the gradual increase in net revenue retention over the last few years. We’ve done this by successfully maintaining growth through the contract renewals and renegotiations alongside additional products and services, all while keeping our customer churn consistently near zero. Any churn that we do experience is typically a by-product of low revenue customers dropping out of sports betting altogether. Now, it’s important to keep in mind that 68% of our revenue still generated from customers outside the U.S. in more mature markets like Europe and the U.K. Therefore, our net revenue retention over the last few years is heavily weighted towards these customers. Although sports betting is more mature in these regions, the concept of officialised data, which we pioneered, is still very new and therefore still relatively undervalued given it’s important to bookmakers. Therefore, continued growth in our net revenue retention will be driven by a steady pace of contract renewals and contract negotiations. This will also be supported by cross selling content and other services, as well as customer expansion into new geographies such as Brazil, for instance. This is an exciting new region. Now introducing legislation to legalize sports betting and Genius is extremely well positioned, particularly as we have just launched an association with industry leaders to preserve the integrity of Brazilian sport. Turning to slide 7, I’ll stay on the topic of sports betting, but shift focus to the U.S. more specifically. In the fourth quarter, which catches three full months of NFL betting, we’ve seen many encouraging developments relative to last year. First, we continue to see a rapid expansion in the U.S. sports betting market as a whole. In Q4, online sports betting handle increased approximately 40% year-on-year. This is a function of successfully new state launches in 2022. Like New York, Maryland, and Louisiana, in addition to growth from more mature states. Looking to 2023, we expect growth to continue with new exciting state launches in Ohio and Massachusetts. As a reminder, our revenue share contracts with us sports books mean every new state launch results in immediate revenue uplift for Genius with little additional cost. Growth in overall betting volume will continue to drive up profitability from years to come. We’ve also seen an improvement in NFL betting in play. Our insight handle or total dollar volume of bets increased by nearly 50% year-on-year. The combination of increased handle and better win margins has translated to in play GGR growth of over 60% year-on-year. We also saw NFL pretty much handle and win margins improved year-on-year resulting in nearly 70% growth in pre match GGR. As you may be aware, both operators are currently earning strong win margins on pretty much betting products like parlays and same game parlays We are often asked what this means for our business. And to be clear Genius absolutely benefits from this positive trend since we take 1.5% to 2% on NFL pre match gaming revenue. As we have seen this NFL season, we expect the popularity of in play betting in the U.S. to grow for years to come. Much like it has in mature markets. 50% growth this year is a fantastic start. And we think this growth year-on-year will remain a long lasting tailwind for our business. In the meantime, Genius benefits from growth in all areas of the market, including pretty much parlays and same game parlays which has driven recent success for operators. No matter the product, these bet products rely on our official data. So we are positioned to share in the upside as operators continue winning in this area. Each of these growth drivers have translated to 108% revenue growth in the U.S. in 2022, which will now enable us to reach profitability in the market in 2024. As a percentage of overall revenue, the U.S. proportionally becoming more significant, now representing nearly 1/3 of our revenues in 2022. And while isolating our top 25 U.S. sports for customers, we’ve achieved net revenue retention of 271% in 2022, demonstrating massive growth from our largest customers. The last piece I’ll touch on before turning to Nick is a successful execution of our long-term strategy to become the digital sports technology partner of choice not only for leagues and sports books, but also to broadcasters, sponsors and brands. Our fundamental goal is to develop technology to help leagues attract and engage the next generation of fans who want to consume sport in an entirely new and personalized ways. This is why leagues want to work with Genius, not because we write the largest check for data rights, but because we bring unique technology powered by computer vision and AI that unlocks the new fan experience that have never existed before and brings real value to partners across the entire digital sports ecosystem. This won’t happen overnight. But in 2022, we began to significantly demonstrate how we turn this vision into reality, with continued winning business with best-in-class broadcasters, such as CBS, Amazon Prime Video, TSN, Nickelodeon, and ESPN just to name a few. Developing and innovating across second screen experiences, both cost organization and much more. Every time you see our technology on screen, you should understand this as proof that we are providing value to our lead partnerships beyond right sees significantly strengthening and deepening our relationship. The result of successful execution here and why we continue to invest in this area is because this open up and accelerates our position in massive new towns outside of online sports betting, in broadcast technology, and sponsorship, harnessing the unique position that we have today to deliver innovative and personalized experiences. I’ll come back to this point in my closing remarks. But for now, I’ll hand the call to Nick to cover our financials.
Nick Taylor: Thank you Mark. As you’ve already heard, 2022 was the year of consistent execution. Looking ahead, we consider 2023 to be the year of inflection, where we expect to ramp up EBITDA growth with free cash flow generation. But first, let’s quickly discuss the results of our strong execution in 2022. We finished the year with $341 million in group revenue, and $16 million in group adjusted EBITDA, exceeding our guidance of $340 million and $15 million, respectively. This is despite the presentational currency headwinds. We’ve communicated in each quarter this year. As a reminder, we initially set out guidance in January 2022 assuming a GBP U.S. dollar exchange rate of 1.35. This exchange rate is fluctuated throughout the year, and haven’t seen 1.15 and 1.2 for much of the fourth quarter. Therefore, we have provided a prior constant currency view of our growth to remove this presentational currency volatility. And to the final time, we have also referenced our financial results using the exchange rate at the time of setting our guidance to give an apples to apples comparison of our performance. As you will see on slide 10, our revenue and adjusted EBITDA would have outperformed our guidance by an even greater margin, close to $20 million and $5 million out performance if not for the FX headwind, which is entirely presentational in nature. On the right hand side of slide 10, you’ll see the breakdown of Q4 group revenue, which grew 36% in constant currency year-on-year to $105 million. As we pry courses in 2022, all three products performed in line or ahead of expectations. First, betting revenue grew to $65 million representing 35% constant currency growth. This was driven by new customer wins, contract renewals, and with negotiations, and expanded offering of value add services and products. Our major revenue continued its strong pace, growing 58% constant currency to $26 million in the quarter. This was driven by new customers and highest spend in North America, primarily through programmatic advertising services. Ports revenue also increased nearly 14% year-on-year to $14 million mostly driven by second spectrum. Given our relatively fixed cost base, which does not need to grow nearly in line with revenues, this resulted in group adjusted EBITDA of $3 million in the quarter marking is significant improvement from Q4 of 2021 up $15 million year-on-year. Moving on to slide 11, we want to highlight the consistent track record we’ve established throughout the year. As Mark mentioned at the start, we issued highly detailed financial forecasts on our January 22 investor day, including quarterly group revenue and adjusted EBITDA targets, and quarterly revenue targets for each of our product groups. This sums to 25 individual financial targets for us to measure our performance this year. Now, as we reflect on 2022, we are delighted to say that we hit or exceeded all 25 of those targets. In addition to our performance by product group, I also wanted to quickly touch on our performance by geography to provide a helpful to you as to the dynamics of our underlying position. As Mark mentioned at the start, our trading outside the U.S. is already highly profitable and cash generative today, with margins in the high 50% range, and they continue to expand. In the U.S., our losses have narrowed from about $20 million in 2021 to approximately $10 million in 2022 as we continue to march towards profitability in 2024. We have made significant investments in the U.S. over the last few years to better position ourselves to capture the growth in this market. At this point in time, much of that heavy investment is now behind us. Meaning like in our core business, our operating expenses do not need to grow nearly in line with revenues going forward. This brings me to slide 12 where we provide more detail on our 2023 revenue and EBITDA guidance. When we initially issued 2023 guidance some 14 months ago, the Sterling U.S. dollar exchange ratio was 1.35. Now, as we sit here today, March 2023, this exchange rate is now 1.2. So we are adjusting our revenue outlook accordingly. Given that our numbers are reported in U.S. dollars as our chosen presentational currency. To be clear, our view of the underlying business has not changed from the time we initially gave 2023 revenue guidance last year. And we’re simply adjusting our outlook reflect the difference in exchange rates. We’re now expecting to generate $391 million in revenue in 2023 in line with current consensus. It is worth flagging that many of our expenses are also paid in currencies other than the U.S. dollar and therefore most of our profitability is naturally hedged and our 2023 group adjusted EBITDA outlook is impacted by lesser degree. We expect to generate $41 million in group adjusted EBITDA in 2023 also in line with current consensus. Additionally, you will find another detailed breakdown of our group revenue and adjusted EBITDA forecast by quarter as well as of course, the forecast of revenue by product group, just like how we guided to in 2022. We are pleased with the fact that we delivered on that detailed guidance in 2022 and feel confident in our ability to so again this year. I mentioned at the start that 2022 was the year of execution. And that 2023 is the year of profitability inflection. You can see that we expect to grow our group adjusted EBITDA by over 150% meaning the expected $50 million of incremental revenue in 2023 contributes to group adjusted EBITDA at a 50% margin. This is proof of the operating leverage in the business, which enables us to drive revenue growth on a relatively fixed cost base that should not increase at nearly the same pace. Slides 13 illustrates this point. Here, you will see a detailed breakdown of our expected cash operating expenses in 2023. Again, much like we provided in 2022 on our investor day. To be clear, our cost base is highly predictable. And we don’t expect it to materially increase in order to achieve our revenue and adjusted EBITDA expectations for the year. For example, take Rights costs, which were $129 million in 2022, and are only growing to $148 million this year, approximately 15%. Additionally, our other operating expenses, sales and marketing, R&D and G&A were $96 million in 2022, and will remain that number in 2023. We’re also beginning to reduce our non-cash expenses as well, including stock-based compensation. For awards granted as of December 2022, we expect this will be approximately $25 million in 2023, down from $90 million in 2022 and should remain as approximately that level on a nominal basis, and decrease as a percentage of revenue. As much as we had focused on revenue growth, cost control and profitability, we’re equally focused on cash flow generation. We finished 2022 with $159 million in total cash above our guided range of $140 million to $150 million. And we expect to begin generating positive cash flow in the second half of 2023 with continued growth thereafter. Our cash flow forecasts include capitalized internally developed software costs, which was $41 million in 2022. Much of this investment was allocated to the development of Second Spectrum products, which has given us a competitive technology advantage and unlocks future monetization opportunities, which we’ll hear about shortly. In 2023, we expect this cash outflow will be in line with 2022 before it starts reducing in 2024, and 2025. We expect our cash flow point in 2023 to come sometime in Q3, before turning positive for the remainder of the year. In Q1 of 2023 specifically, we expect our closing cash balance to be approximately $130 million on current exchange rates principally due to seasonal working capital outflow and an annual Q1 cash payments related to our CFL investment. Lastly, as a matter of housekeeping, you may have noticed that we recently exchanged all of our outstanding public warrants for ordinary shares of common stock. The purpose of this transaction was to simplify our capital structure, eliminate a future diluted overhand for common shareholders and remove certain legal tax and accounting considerations and costs associated with those warrants. As a result, company should have greater financial flexibility, and investors can be certain of our capital structure going forward. As always, you can find an updated share count build in the appendix of our earnings presentation, which will illustrate the reduction in our fully diluted share count. And on that note, I will now turn the call back to Mark for closing remarks.
Mark Locke: Thank you, Nick. Before opening the lines to Q&A, I’d like to leave you with a final thought and suddenly excites me most about our business. In the past few months, we’ve all been blown away by the capabilities demonstrated by AI powered technologies like ChatGPT. If anyone didn’t realize it before, they now understand that AI and machine learning will soon change every aspect of human life. Genius’s Second Spectrum technology is the sports equivalent of ChatGPT. Our technology enables machines to autonomously understand sports at a level far beyond even the best pundit or commentator. Second Spectrum’s unique understanding is built on over a decade of computer vision and machine learning development. Leveraging a corpus of training data unparalleled by any other technology. We now have a unique advantage and opportunity to apply this capability and revolutionize sports at every level. In our vision of the not so distant future, through generative AI, every person fan, better, player, coach, will be able to watch the game in a fully personalized way tailored to their exact needs and preferences. I’ll give you one small example of how we’re already doing this today. Up until last year, all 110 million people who watched the Super Bowl watched the exact same broadcast. This year, last month if you’re a data geek or fantasy player, you could watch an alternate [Indiscernible] produced by Second Spectrum tailored to your interest. Our technology has automatically produced these kinds of personalized broadcasts through the NFL regular season and playoffs for NBA games and EPL games personalizing the experience for data heads, betters, analysts, casual fans, and even kids all automatically. As another recent example, we announced yesterday that we have expanded our technology partnership with the NBA. Like other leagues, the NBA is focused on bringing their game forward by finding solutions to their challenges of the future. Genius Sports and Second Spectrum have the technology to address those challenges. We’re implementing our tech enabled solutions to help the NBA better engage its next generation of fans by creating richer and more personalized experiences. You will have the opportunity to see this first hand on NBA League pass, where we’ll be augmenting live broadcast with next gen data and insights all in real time. Additionally, the NBA has partnered with us on Dragon. This is our new technology and a next generation platform that will track mesh data which synthesizes billions of on-court data points. This system represents a new paradigm for sports technology that is a quantum leap from where we are today, and further extending the head start that we have in the market. These are just two of the many examples of how our technology has critical application in helping leagues better engage their audiences. And this is just the beginning. Just as ChatGPT can interact with you and give you answers tailored specifically for you, we will soon be able to provide personalized sports experiences tailored specifically for you. This is the end of the one size fits all, and the beginning of personalization for all. Genius is uniquely positioned to leverage this moment and create value across a wide range of products that will benefit broadcasters, sponsors, brand bookmakers, and ultimately fans. While AI has only just taken center stage, Second Spectrum has developed its strategy and technology for over a decade. While we have been partially confidential and competitively sensitive during that time, we are pleased to begin to unveil the more complete version and potential that we have invested in and executed on recently. In fact, we plan to upload a visual demonstration of this wide range of products on our Investor Relations website early next week. We believe this will showcase how we are already bringing these concepts to life. Sports Betting is a major growth driver of our business, but so too is revolutionizing the sports industry and the fan experience through AI. There is a lot more to come and we’re excited to share it with you in the months and years ahead. On that note, I’d like to thank our investors for their support as we continue to build our leadership position in the Digital Sports technology market. And with that, we will now open the line for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Ryan Sigdahl from Craig-Hallum Capital Group. Your line is open.
Ryan Sigdahl: Good day, Mark, Nick, congrats on all the business progress and an updates. I want to start with guidance. So curious, Nick, if you can give kind of more of the underlying assumptions. One, why not provide a range? Two, why pick consensus as your point estimate? And three, I guess FX is a little higher than when you last reported. So curious, I guess with the business outperforming why you’re reaffirming the underlying assumptions from a year ago.
Nick Taylor: Hey, Ryan. Well, I guess the first thing is, is the underlying assumptions haven’t changed. So there’s still the same assumptions that we set out in approximately 14 months ago now, Ryan, wasn’t it? So, as you said in the prepared remarks, our underlying business hasn’t changed. And if the U.S. dollar exchange rate was at 1.35 to Sterling today, we’d still be guiding to the 4.30, 4.40 range. But given the percentage movement, I think we’re using 1.2, which is almost dead on as is today and until 2023. It’s not an exact science, right, Ryan. We have revenues in Sterling, in euros, in dollars and lots of other currencies. What we are is we’re very confident that 1.2 that we will hit the metrics that we’ve set out. In terms of not giving a range, we didn’t give a range last year. We’re very precise in our forecasting. And again, we said in prepared remarks, we’re pleased to hit all 25 of the metrics that we set out and very confident at 1.2 that will hit the 25 that we set out to 2023.
Ryan Sigdahl: I guess maybe just a follow-up, Nick. It feels like the business is in a bigger, better, outperforming place than it was 14 months ago. So I guess why reiterate those same underlying assumptions when the business has outperformed each of the last four quarters?
Nick Taylor: Hey, Ryan. Well look, we’re very pleased with our 2022 performance. We’re very pleased to hit and exceed, and we’ll be looking to hit or exceed our 25 that we set out to 2023 in the same basis, both at revenue and as an EBITDA from them. Remember also from an EBITDA, adjusted EBITDA position, obviously, it’s far less issue in relation to foreign exchange. And I think we’ve got it to 41, which is actually still within the range that we gave actually in 14 months ago. And as I said, well, I’ll just repeat myself, we’re confident that we will hit and exceed, hit or exceed those 25 metrics that we set out to 2023.
Ryan Sigdahl: Fair enough. One follow-up for me. I’ll turn over the others. But just on Second Spectrum, looking forward to hearing more there, congrats on the NBA contract. But the question is, how do you think about the opportunity to provide similar services for leagues that you partner with already for official data rates? That seems fairly logical to me versus going after leagues where you don’t have those rights? And does that provide any barrier to entry?
Mark Locke: Yes, it’s – hi, it’s Mark. It’s a great question. I mean, the Second Spectrum technology stack, if - once it’s built, it’s the - on a per sport basis, the ability for us to effectively democratize that through - throughout all of the other leagues that we have is enormous. So the relationship with the NBA is just one of the many relationships we expect to have within basketball on a global basis. I mean, to remind you, we do sort of roughly 60,000 FIBA Basketball events were in basketball in college all over all over the U.S. And the technology stack that we built and our ability to roll that out globally, is something that’s very material. And a couple of things that come off of that, which are pretty interesting, firstly, is the ability for us to collect data in a sort of more efficient manner. Also our ability to collect much richer data because obviously machines and computers can get understand the game far better than a human can come and collect much richer data. It gives us a much, much, much higher barrier to entry and that data can’t be replicated. It can’t be accessed by anyone else. It’s our data or the league’s data. And the sort of final point, which I think is really interesting, is it begins a binary shift in the type of data that’s required by bookmakers, that’s required by lead broadcasters. And that type of data, again, can only be accessed and collected through this technology. Second Spectrum is pretty much the only technology stack that has the ability to do this, our mesh technology that we’re rolling out, which we’re going to be expanding more on in an Investor Day next week, will give you a much greater clarity of that. But ultimately, they’re sort of the punchline is that we’ll have unique sets of data, it can only be collected by us, it will reduce the operating costs in the business, it will expand the opportunity for us to sell it to Leagues, Federations back to the sport, and it will give us an enormous barrier to entry and a huge note.
Ryan Sigdahl: Thanks, Mark, Nick. Good luck, guys. And looking forward to next week.
Operator: Your next question comes from the line of Jed Kelly from Oppenheimer. Your line is open.
Jed Kelly: Hey, guys, great. Thanks. Thanks for taking my question, and good year. Just a couple of - just one on the guidance for this year, looking at the Media segment, it kind of implies a decent deceleration in 1Q, maybe single-digit growth in 2Q then reaccelerating in the second half. So you can kind of talk about what’s going on there? Is that being driven more by some of the sports books pulling back, some of the economic pressures we’re seeing in digital advertising? And then, Mark, can you just give us an update on where we are in terms of some of the bigger college conferences at Big Ten SEC, are the ones that come to mind pardons up where we are on data rights for the Big Ten SEC and the other large college conferences? Thanks.
Jack Davison: Hi, can you hear us, Jed?
Jed Kelly: Yes. Can you hear me?
Jack Davison: Yes, sorry. Yes. Hi, Jed, this is Jack. Just on your media question. Like we said, last quarter, we’re expecting our media revenues to be more and - more closely in line with our forecast. That’s really down to last year in H1, media spend being unusually high. So really, we’re seeing it come back down to our expectations. In terms of media performance, we’re really happy with how it’s going. We’ve got a number of new customer wins over the course of last year. When you look at the broader ad tech market, we’re starting on the non-betting side of things. We’re starting from a very low base. And we’re seeing good success there in terms of growth. So we’re feeling very positive about it.
Mark Locke: And Jed, its Mark. And just to pick up on your conference questions. Yes, there’s a lot going on at the moment, in the conference space. I think the first thing just before I sort of hit the conference points is that for us to hit or exceed the numbers this year, we don’t need to win any new deals. So there’s no requirement for us to, Jed, bring any new rights deals in. And if we do, we’ll be bringing them in only if they’re profitable and they make sense for us. So we’re in an incredible place. And we have fantastic operational leverage that that’s coming through in the business. But in terms of the specifics of the conferences, look, there’s obviously a lot going on, Big Ten and making moves, there’s some changes there as Commissioner level. The SEC are also sort of progressing. I think, from our point of view, we’re very much focused on those deals as they make sense for us, as I’m sure everybody else is. But more importantly, we’re incredibly well placed with March Madness. We’ve got the relationship with the NCAA. March Madness is coming up very soon. That provides an enormous opportunity for us to deploy both technology, as well as generate revenues from the data and our relationships with the league’s of works, works direct relationships with the bookmakers that have us in a very strong position there. So we’re feeling pretty good about our position in college. The other sort of point as well is the technology rollout that we’ve made over the last year in a year 18 months in college is really, pretty complete now. So we’re in the majority of schools, we have our technology in most of the areas. So the data we’re collecting is second to none. And again, going back to the point I made to Ryan, in the last call, the technology deployment that we’re going to be able to do through Second Spectrum through basketball and the other sports is coming out of that is going to leave us in a very, very strong college position.
Jed Kelly: Thank you.
Operator: Your next question comes from the line of Mike Hickey from Benchmark. Your line is open.
Mike Hickey: Hey Mark, Nick, Charles, Brandon congrats on the quarter guys. And nice to see that the growth. Yes, two questions from me. I guess the first one just looking at your 2023 guide, obviously, huge operating leverage here and you spoke to that I think that incremental revenue is contributing 50% EBITDA margin. Can you give us a little bit more color about the sticks nature of your expenses? And how you think that should sort of trend I guess, over the medium term that just sort of thinking about the sustainability of this sort of elevated levers that we see.
Nick Taylor: Yes, Hey, Mike. I mean, look, yes, Mike, you and others have heard me talk for a number of years about the fixed nature of our cost base, and that it doesn’t need to grow in line with revenue. And what we’re seeing is that 2022 release that inflection point. And you’re right Mike, you can see that in our guidance. We’re expecting incremental revenues to drop to around about 50%. And that’s due to the fixed nature of the cost base. If you look at the individual lines on that cost base, the operating costs, the R&D doe in marketing G&A, actually is the collective we’re forecasting expect that to be flat year-on-year, and therefore, subsumes all any sort of inflationary aspects within those numbers on a flat basis. In terms of going forward, the dynamics that are driving that aren’t going to change. So the dynamics, we’re expecting those to continue through 2023 into 2024. And indeed, beyond Mike with revenues growing at a heightened rate above the cost base.
Mike Hickey: Alright, thanks Nick. The same question for me on the tech innovation, obviously, we’re going to see a lot of that next week. Pretty incredible what you guys are doing with Second Spectrum. And it looks like you have a lot of product innovation that we’ve seen and still coming in obviously that’s highlighted by your NBA deal. Here, it’s if you can sort of provide any more, or some granular examples, perhaps of how tech sort of driving player engagement, retention, monetization from sort of your operator, partnerships and or how tech is being effective in terms of driving, retention, or maybe better writes these for you in the future with your partners. And then also curious how you think about, I mean, you’ve got -- you’ve had a great balance sheet, you’ve done great deals. And the Second Spectrum obviously is there. And that’s a big piece of, of your growth here. How do you think about the necessity or investing in the tech and if you think there’s incremental, M&A opportunities that you could kind of sort of continue to expand your tech stack or your products that you’re offering your, your partner’s? Thanks, guys.
Mark Locke: Yes, thanks a lot in that. Look in essence, and I’ve said for years now that the investment in the tech stack is going to start to deliver improvements in our ability to do rights deals, and in fact, the value of the rights deals that we do and our ability to renew rights deals. And that is something that we are seeing very clearly coming through the business and in the deals that we’ve done. But also for example, in our relationship with the NFL, and you’ll have seen this year, we rolled out our partnership with Amazon and our partnership with TSN, ESPN, we’re in CBS. We’re in a very, very strong position. As a result of the investments that we’ve made in our tech, the investments that we make are optional. We choose the level that we want to invest. We at the moment, we feel very comfortable with all the amount of money that we’re spending on this and the level of investment, we don’t see that needing to increase in any way. It’s flat at the moment. And if anything, we may even, we may even sort of assess that in the opposite direction as time goes on, because fundamentally, we have an awful lot of what we need. And frankly, we have a massive technology head start. And our job is really to make sure that that we’re getting the balance of that head start and that investment, right. So that’s our focus there. In terms of M&A. Look, as I said, we’ve got everything that we need. I -- you should never say never and we should always be assessing the market and, understanding what’s available. If things like, screaming and AdSense, then yes well, we’ll obviously do it. But at the moment, we’re very, very happy with the position; we think we’ve done an excellent job of positioning, an excellent job of investment and so at the moment we’re feeling in a really good place.
Mike Hickey: Thanks Mark. Good luck guys.
Operator: Your next question comes from a line of Jason Bazinet from Citi. Your line is open.
Jason Bazinet: Hi, good morning. I just had a question on U.S. EBITDA losses and sort of the shape of that curve as you glide towards profitability in 2024. I think about a year ago, you were you were talking about U.S. EBITDA losses widening, in 2022, relative to 2021. And I think maybe I misheard you, it sounds like they actually narrowed to about $10 million of losses. So I was just I was just wondering, do you expect more investments in the U.S. that sort of pause a little bit of retrenchment in 2023, before you get to profits in 2024? Or is there just a bit of conservatism baked in baked into your guidance of you know 2024? You get the gist of the question, I think.
Nick Taylor: Great. Thanks, Jason. And it’s I guess the first thing I’d say is, we don’t operate the business in such segments. And therefore, we don’t give a detailed sort of SECs. SEC style review. But having said that, you’ve heard right. In broad terms when you look at the U.S. we’ve seen a narrowing of EBITDA that was always our anticipation when you look at our global U.S. position. We -- it was running at around about a, I think I spoke about $20 million loss last year, and round about $10 million in 2022. And we all expected that to narrow a little bit in 2023. And then as I said, I think of the prepared remarks, we’re expecting the profitability to hit in 2024.
Jason Bazinet: Okay, thank you.
Mark Locke: Yes, so what I’m really reiterating on a group level that, H2 of 20 of the issue is going to see positive cash flow as well. So just to reiterate that.
Operator: And your next question comes from a line of Ben Chaiken from Credit Suisse. Your line is open.
Ben Chaiken: Hey, how’s it going? Good morning. I wanted to dig in on your follow through guidance of 50% for 2023 versus 2022. As we just step back and think longer-term, is this the right 50% the right flow through for the business? Or where do you expect to be higher or lower than that moving forward. And here’s kind of where I’m coming from. I think you had some incremental states launch this year, that presumably, you’d get some operating leverage on, especially in your rights cost. And then FX, which you mentioned impacts, EBITDA less than revenue. So that’s provided a little tail in there. I’m not sure if there’s any of the puts and takes on the cost side, and what’s calling out but just want to dig into some of the moving parts, and then get a sense of how we think about flow through moving forward. Thanks.
Nick Taylor: Yes. Hey Ben. I mean, I guess to 2023, we’ve given quite a lot of detail, certainly on the cost base on a line by line basis. So you can kind of see, we’ve got that we’re forecasting revenues to be up $49 million. Year-on-year you’ve got, I think eight of that is an increase in media. So as you know, then that drops to around about sort of $3 million to $4 million. The bedding which 41 talk through there at a much higher rate. Indeed, in some areas, as you say, quite rightly close to 100%. When you look at on the cost base, and it writes up $19 million year-on-year, and then the rest of the cost base, the operating costs are actually flat year-on-year. And that’s hence how you get to your $25 million drop through on a 40, 49, 50 million EBITDA on a revenue basis. We’ve not given guidance for 2024 specific, however then we expect those dynamics at play in 2023 to continue to exist through 2024. You’ve got that strong revenue growth in 2023. When you look at it on a constant currency basis, that’s sort of a high teen’s revenue growth. It’s around about 17%, 18%. And as you say, this job search 50%, those two dynamics were expected to continue. And broadly those levels for 2024 when you’re looking at your numbers, and certainly when you get beyond 2024, they should be dropping through the similar kind of level.
Mark Locke: And also, it’s just probably worth adding to take it out to sort of a macro level. You mentioned new states coming on board as a new state comes on board. That -- that’s that’s that doesn’t cost us anything else. We just switch on a new state the -- our clients generate new revenues, it may cost them in terms of marketing, which obviously comes through to us, which is beneficial. But the actual drop through from new states for us is, is a near 100%. So, it’s a very, it’s a very, very good thing when new states do come on board for us.
Nick Taylor: And also Ben, it’s just worth reiterating. Certainly when you get out beyond 2023, it’s obviously you’ve got other global areas like Brazil, I know it’s a hot topic. Currently, we mentioned it again, in our in our prepared remarks, doesn’t really impact 2023, particularly, but when you go on 2024, again, you’ve got dropped two of those two sets, because you don’t have really much incremental costs on that, given if you think what we do as our business is that fixed nature of our cost base.
Ben Chaiken: Right, I guess what I was getting at simplistically is FX is a tailwind for you on follow through. So really, you’re doing less than 50%. If we normalize for FX, I’m just trying to figure out if this is a good level moving forward, or if we should expect less than 50% in how you -- we can.
Mark Locke: No I expect you to defend regardless of attacks. If we look at it, the numbers I’ve quoted at you all at 1.2. And obviously, 1.2, but the revenue and the cost base. So whether that’s at 1.3, 1.1, or whatever, we’re still expecting it to flow through that on that basis.
Ben Chaiken: Okay. And then I think you mentioned in your prepared remarks and others in the industry have called out and proven win rates. Have you embedded this in your 2023 outlook? At the investor day, just maybe add more context to that at the investor day, you guys provided some context of your multiyear outlook for NFL in game, win win rates. So I’m just curious, have those changed at all?
Mark Locke: Yes hi Ben. So Jack go on.
Jack Davidson: Yes. Hi, Ben. So Jack Davidson, Chief Commercial Officer. So I think it’s really quite good to look at this stuff. You’re the assumptions that you look at a really interesting, really, really interesting things going back when which we have seen good win rates. And that’s been good. But we’ve started to look from either when we, when we look at this stuff, the underlying assumptions that we set out earlier in the year or the investor day are pretty consistent with what we’ve seen. The thing that we’re starting to see, that we started to focus on really is less the percentage of in play versus pre match GGR. And handle those things. These are important metrics, but more kind of, in absolute terms, what’s going on. So when you think of pre match versus in play GGR in the NFL, it’s slightly skewed compared to where we started because of the massive success of same game parlays, which is fundamentally a pregame product at the moment. And those margins massively skew they, the GGR show it kind of one way. So what we start to look at much more closely is our absolute terms. And what we’ve seen in terms of absolute revenues and in plays, they’ve gone up from GGR has gone up about 60% year-on-year, something like that from the quarter, and that’s clearly outstripping the market. And so we have seen, those are the trends we’re starting to look at. And the trends are heading the direction that we need for the business to be successful as we set out.
Ben Chaiken: Okay, so just to confirm the win rate improvement in the industry. Have you guys, have you embedded that into Florida outlook?
Mark Locke: Yes.
Ben Chaiken: Thanks.
Operator: Your next question comes from a line of Bernie McTernan from Needham and Company. Your line is open.
Bernie McTernan: Great, thank you for taking the questions. Maybe it’s a follow up to that seems like parlay certainly a focus for the sports books right now and just wants to know how they impact exchange rates. I think at one point you’re doing saving parlay for DraftKings. So how should we think about the parlay pay great versus the 1.5% to 2% for pre match betting?
Jack Davidson: On a -- sorry, Jack again. On a sort of more general level, same game, parlay will just fall into a pre match bet. Same game parlays that exist at the moment, it was just a pre match bet. So our take rate on that you should a number less than what we take on a on a pregame on a pregame bet. When we’re writing product there obviously, this is different. And we do that for many customers across the world and two big ones in the U.S. As you know, including DraftKings, though what I think we’ll see is a bit of an evolution of that stuff in terms of operators, outsourcing and insourcing and a shift to in game same game parlay and a shift to those sort of take rates which are obviously a positive from our point of view. And our position on this stuff is always pretty consistent. We will always be part of that in a way because operators need the data to power those products, which are whether they’re doing it in house or out of house. So that’s the position.
Bernie McTernan: Understood. Thank you. And for Nick, this hatchery thing was the conversion of EBITDA to free cash flow, especially with you guys getting to free cash flow positive in the second half of the year.
Mark Locke: Yes hey, Ben. Yes, I think you just called out, so the second half of the year is going to be cash flow, we are forecasting it to be cash flow positive. A couple of things in the opening half of the year, we got a bit of working capital just was against us. We also make payments to CFL at the start of the year in terms of increasing our investment. But you’ll have it seen happen in 2022 as well. Second half year, obviously with growth in revenues and EBITDA in the second half year, you’ll see that free cash flow, start generating an H2 and then obviously, beyond a cash flow positive in 2024 as a year, and so on and so forth.
Bernie McTernan: Got it. Thanks, guys.
Operator: And your next question comes from a line of Robin Farley from UBS. Your line is open.
Robin Farley: Great, thanks. You’ve talked about the net [Ph] technology with Second Spectrum and the new contracts. Can you talk about how much of that is contributing to the growth year-over-year in your sports technology revenue? Thanks.
Nick Taylor: Hey, Robin, it’s Nick. I, as you know the NBA, it’s a long standing partners that have the deal we announced yesterday is an extension of that, and obviously included in our 2023 forecast. That said, Robin, of course, the deal is so much more than just 2023. And it’s really about our growth story in 2024 and beyond. We’ve talked about it’s really a sort of our base camp position, and really opens up opportunities way beyond the normal sports betting data revenue opportunities in mid-2024 and beyond. And that’s really why we’re very excited about it, particularly given it something like the NBA.
Robin Farley: So just the 2023 guidance for sports psychology revenue include any other contracts with Second Spectrum that you haven’t announced yet?
Nick Taylor: No, we don’t need. I think Mark said it earlier. We -- the numbers right across not just sports tech, actually. But all the other areas as well. We don’t need to win any more rights. We don’t need to any more significant contracts. We have what we need to execute on the 2023 numbers that we’ve just set out to do.
Robin Farley: Okay. Is there anything else in this sport technology revenue that’s changing year-over-year at Second Spectrum is growing and 2023 versus 2022. Just to get to that, that flat number and guidance?
Nick Taylor: No, there’s nothing significant one way or the other. There’s obviously the occasional ups and downs. You’ve got I think we called out on the prepared remarks some of the seasonality around major sporting events in 2022 versus 2023. And then again in 2024, but but nothing significant rolling.
Robin Farley: Okay, thanks.
Operator: And there are no further questions at this time. This concludes today’s conference call. Thank you for your participation. You may now disconnect.